Operator: Greetings. And welcome to the Ramco-Gershenson Properties Trust First Quarter 2011 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Paula Antio, Director of Finance. Thank you, Ms. Antio. You may begin.
Paula Antio: Thanks operator. Good morning. And thank you for joining us for Ramco-Gershenson Properties Trust’s first quarter conference call. At this time, management would like me to inform you that certain statements made during this conference call which are non historical maybe deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Additionally statements made during the call are made as of the date of this call. Listeners to any replay should understand that the passage of time by itself will diminish the quality of the statements made. Although we believe that the expectations reflected in any forward-looking statements are based on reasonable assumptions, factors and risks that could cause actual results to differ from expectations are detailed in the quarterly press release. I would now like to introduce Dennis Gershenson, President and Chief Executive Officer; and Gregory Andrews, Chief Financial Officer, both of whom will be presenting prepared remarks this morning. Also with us today are Michael Sullivan, Senior Vice President of Asset Management; and Catherine Clark, Senior Vice President of Acquisitions. At this time, I would like to turn the call over to Dennis for his opening remarks.
Dennis Gershenson: Thank you, Paula. Good morning ladies and gentlemen, we are pleased you could join us. First, piece of very good news, Dawn Hendershot, our Head of Investor Relations, some one familiar to many of you and the usual voice to introduce this call just had a baby girl, mother and daughter are doing well and we anticipate Dawn’s return in time for her to participate in our second quarterly report. And now to business. These last 90 days we have been very busy and a very productive period for the company. Our activities involved all aspects of our business including balance sheet improvement, portfolio management and corporate restructuring. I will ask Greg Andrews to address our balance sheet advances including the dollars we raised through both our recently completed convertible preferred and controlled equity offerings. Other balance sheet positives include the financing of our Jackson Crossing center in Jackson, Michigan, the payoff of all significant short-term obligations and the very limited schedule of loan expiration through the end of 2012. Greg will also update on our new and pending revolving line of credit. Suffice it to say, that in a relatively short period of time, we have not only made substantial progress in positioning our balance sheet so that debt represent were less than 50% of our capital structure. But with our new revolver and the flexibility our debt reduction provides, we are positioned to aggressively move our company forward. I’d like to focus on the progress we are making in asset management and corporate cost containment. In our 2010 year-end conference call, we set out a number of operating metric goals for 2011, including improvement in our same center operations, driving our overall occupancy, reducing the number of mid-box vacancies including spaces where our tenants were [dark] but still paying rents, and increasing our average base rental rate. I’m pleased to report that we are on track to achieve all of these goals. First, relative to our same property analysis, at year-end we projected that for wholly owned centers are $2,011 would approximate our performance for 2010. In the first quarter of the year, the same center comparison showed that our operations were indeed approximately equal to our results for Q1 2010 and a modest negative of 0.1%. Even with the departure of a number of mid-boxes many of which await their identified replacements. Our leasing efforts and property cost containment allowed us to maintain our net operating income. On same center for off balance sheet joint venture analysis, a very positive story that does not necessarily come across in our numbers. Minimum rents, recoveries and occupancies, they have all been impacted by the departure of mid-box retailers like, Albertsons at Mission Bay, Borders at Hunter’s Square as well as R.J. Mars and Excellence in Exercise in Chester Springs. All these tenants were in our 2010 numbers, but has been removed to make way for Golfsmith and Fresh Market at Mission Bay, buybuy Baby at Hunter's Square, and Marshalls at Chester Springs. The relatively small dip in occupancy, minimum rent and recoveries at these centers compared to the size of the departing anchors is an indication of our small tenant leasing progress as retailers sign agreements in anticipation of the opening of our new anchors in the second half of 2011 and in early 2012. On the leasing front, understanding our first quarter statistics is not necessarily a simple straight forward process. We issued a press release in March, touting the fact that six new mid-boxes would be signed in Q1. We have indeed executed all six new lease agreements. These achievements must be put in context however, as our supplement shows a small drop in both physical and leased occupancy. Neither dip was a surprise and we had forecasted a small decline in Q1, before we accelerate pass our year-end 2010 numbers were both leased and occupied space. Further, the first quarter is typically a period where both lease expirations and a time when weaker tenancies drove in the town after benefiting from whatever the holiday season provide them. The larger tenant departures included Bealls Furniture at our South Bay Center, the burn-off of the CDF lease guarantee on the Linens ‘n Things at Pelican Plaza, and the departure of Borders from Hunter's Square at lease expiration in January. The drop in our smaller tenants represents the majority of the departures we expect to experience for them in 2011. Let me briefly explain why the six new mid-box leases do not more than counterbalance these drops in occupancy. First, four of the new leases replace currently dark but paying tenants. The new retailers include two bed, bath and beyond stores, and sporting goods operations, both regional, MC Sports and Dunham's. The replacement of the dark by paying anchor by a new vibrant retailer benefits our centers in two ways, as the installation of a new exciting draw increases both customer traffic and interest in filling vacant spaces adjacent to our new anchors by ancillary retail uses. Our other two new mid-box retailers still exist in vacancy, our national fitness center more than doubled the size of a vacant 23,000 square foot box in Metropolitan, Atlanta, and a buybuy baby store a new entrant into the Detroit Metro market well opened at 100 square in Farmington Hills, Michigan replacing the vacancy created by the Borders departure. The lease group is latter changed does not positively impact our occupancy number, if because Borders was included in our 2010 year-end number and only vacated in the first quarter of 2011. Going forward, the number of tenants and square footage of departing retailers should drop precipitously and the number of new leases and occupancies will rise at both prior levels. Included in our plans for the balance of the year, is a signing of a number of additional mid-box leases. Because we are on track with our 2011 leasing program, we reaffirm our projection of leased occupancy at year-end 2011 to be between 91 and 92% and physical occupancy to be between 90 and 91%. Turning to lease renewals. In the first quarter we retained 83.6% of all expiring tenant leases. A major positive shift from historical averages of 72% to 74%. Please note that even with this high retention rate, we achieved a positive average rental increase of 1.3%. The leasing statistics in our supplement, in addition to our renewal information provide an accounting for both total comparable leases which include new leases as well as renewals and an additional schedule showing comparable rates for just new lease agreements. During the first quarter, because one large format user accepted it's premises in an as is condition with a modest allowance for improvements. We reached an agreement with the retailer to pay a rental rates substantially below that, paid by the prior mid-box occupant. This one lease agreement, therefore, have had a significant impact on our leasing spread. For total comparable leases in the first quarter, we experienced an average decrease of 5.6% excluding the impact of the one box, the number would have been negative 1.8%. It should be understood that even with the acceleration in retailer interest and locating in our centers, market rents in many of our trade areas are still challenging as our competitors are offering extraordinary deals to try entice tenants and generate assets. It is our belief that a well occupied shopping center is always preferable for holding out our higher rental rates that may take sometime to achieve. That said, we expect our leasing comparisons to improve as we move through the year. Also, for all leases signed in the first quarter, we experience an increase in our portfolio average annualized base rent per square foot and increase from $10.98 at the end of 2010 to $11.03 at March 31st. Another one of our 2011 goals was to further streamline our corporate structure. Although, our latest staff reduction occurred in the first week of April, we issued an 8K until I thought it appropriate to address the changes this time. In 2010, we informed you that we would be sailing back the number of value add redevelopments that we would commence in 2011, to no more than 2 to 4 projects. We also expect that any developments we would undertake will be timed in such a manner that we did not mean to maintain the size of or development and redevelopment group at its staffing level. For us after a review by potential projects we concluded that a staff reduction was appropriate. In addition to several other departures, the Head of the (inaudible) development team has left the company. His responsibilities will be divided and assumed by several of our senior executives who have extensive development and redevelopment experience. As for this divisions and acquisitions you will remember that on our fourth quarter conference call we updated you on the status of the three shopping centers we had offered per se. As a further update we will be closing on the first of these three in the second quarter and we expect to sell the remaining two in the second half of the year. The unusual amount of time it has taken to affect these sale is the result of a lender approval process, which has been delayed because our CMBS services has a retention focus on problem loans. During our last call, I also outlined our plan to sell a number of non-core assets. We have now identified a number of properties and we are in the process of implementing the best approach to marketing them. Please understand that when we identify an asset at non-core, it does not mean that it is by definition distress. On the contrary, one of this group has a free standing mid-box. Another property consist of approximately 30,000 square feet of lease payout space which is very well leased and fits adjacent to a Shadow major national anchor. Also, there are several or additional tenors we emplaced in this category which have viable anchor draws. However, the major tenant does not fit our definition of what we will consider a core anchor going forward. Thus, our approach to what constitutes a non-core property encompasses a broad range of assets. We expect to begin to sell these properties in the second half of 2011. Lastly, having established a strong financial base with minimal debt maturities through the end of 2012, with the pending sales of three stable assets that should generate 40 to $42 million. And with the closing on our new unsecured line of credit, we are in the marketplace actively seeking acquisition opportunities. I would just like to conclude by saying that our entire management team is energized by the potential and our future. And I’m personally excited to share with you over the next several quarters our on going progress toward the goals we set out at the first of the year. I would now like to turn this call over to Greg Andrews who will cover our financial activities over these last 90 days.
Gregory Andrews: Thank you, Dennis. Let me start by discussing our balance sheet, then I will cover our income for the quarter and wrap up with an update on our outlook for the year. We have substantially strengthened our balance sheet this year through five capital raising activities. First, at the end of the quarter, we closed a $24.7 million seven year mortgage on Jackson Crossing located in Jackson, Michigan. This center is our in closed mall, the interest rate on the loan is 5.76%, proceeds we used to pay down out of the $30 million balance on our term loan. Second, at the end of the quarter we obtained one year extension on two mortgages totaling $13.9 million and secured by Beacon Square and Gaines marketplace. We also reduced the rate on this variable rate loans by [omitting] their LIBOR floors. Third, during the quarter we raised $8.6 million to the issuance of 650,000 shares of common stock under our control of equity offering program. Proceeds we used to payout the remaining balance under our term loan and to payoff our 20% share of an $11 million mortgage secured by Peachtree Hill a joint venture property. Fourth, subsequent to quarter end we closed an operating of $80 million of convertible perpetual preferred stock. The dividend rate on the preferred stock is 7.25%. Proceeds from the offering were used to payoff our $30 million bridge loan and to reduce the outstanding balance under our secured revolving line of credit. Under GAAP our convertible perpetual preferred stock will be treated on our income statement either as reducing net income by the preferred dividend or as converted into common equity, whichever is most dilutive to that income and to FFO. We expect our income statement treatment this year will be to reduce net income by the preferred dividend. Fifth, and last, and also subsequent to quarter end we received commitments for our new bank facility. With a new $250 million facility is unsecured and is comprised of a $175 million revolving line of credit and a $75 million term loan. Our line of credit matures in three year's and term loan in four year's, but also allowed to our one year extension at the company’s ops. The new facility eliminates the 2% LIBOR floor of the existing loan agreement and reduces the interest spread of 350 basis points to a range of 200 to 275 basis points depending on the company’s leverage. We anticipate that this loan facility will close within the next few weeks. As we close our new bank facility we will have lowered a borrowing cost, enhance our liquidity and flexibility and unencumbered nearly $500 million of property. Let me walk through the pro forma changes to our balance sheet measures as a result of our preferred stock offering and bank fund restructuring. Our debt-to-market capitalization decreases 52% to 45%. Our debt-to-EBITDA decreases from 8.1 times to 7.0 times. Our weighted average term of our debt increases from 4.8 year's to 5.7 year's. Our interest coverage increases from 2.0 times to 2.4 times. Our fixed charge coverage remains unchanged at 1.7 times. And finally, our availability under our line of credit increases $15 million at quarter end to over $150 million. In summary, we have greatly improved our balance sheet strength and flexibility which will leave us free to focus on leasing, cost control and other opportunities to create value going forward. Turning now to the income statement. Our first quarter income was inline with our expectations. I would like to cover a few notable items. Our property NOI was approximately $500,000 higher than budget primarily because of higher minimum rent. NOI for the quarter included a $300,000 reduction in recoveries for our true-up for last year's expenses. As a result of the true-up our recovery ratio for the quarter was 88.7%. For the remainder of the year we expect our recovery ratio to be approximately 90%. In the first quarter we received lease termination income of $1.2 million, this income relates primarily to the departure of two mid-box tenants who will be replaced by new retailers. We anticipate another $1 million of sale an additional lease termination income over the balance of the year, although, it may not be evenly distributed in each quarter. Our provision for credit loss which is included in property operating expenses was 422,000 in the quarter, lower than the 618,000 in the comparable period last year. The current quarters provision equates to 0.25% of property revenue, and we consider this to be a reasonable run rate estimate for the rest of the year. Our general and administrative expenses for the quarter were $5.1 million, this included approximately $300,000 of expenses budgeted for later in the year. We expect an offset to this amount through lower expenses in the remaining quarters of 2011. At the beginning of the second quarter we reduced our employee count by 4. We expect to incur a modest governance expense related to this reduction in the second quarter, and anticipate recurring savings of approximately $600,000 on an annual basis. Overall, we now expect G&A for the full year to be in the low to mid $18 million range, with a lower run rate in the second half of the year than in the first. Now I’d like to comment on our outlook. As noted in our press release we are affirming our 2011 guidance or FFO in the range of $0.90 to $1 per share excluding any non-recurring items such as impairment charges or RAF’s. As a result of restructuring our bank facilities we expect to write-off certain deferred financing cost related to the existing line in the second quarter. This write-off is non-included in our FFO guidance and we are still in the process of identifying the exact amount through the quarter in accordance with GAAP. In conformity with NAREIT definition of FFO, we will include this item in our reported FFO. To sum up, we are pleased with the progress we have made on our balance sheet for this year. The addition of preferred equity capital, the lowering of our borrowing cost and the creation of a sizeable unencumbered full property result in significant greater financial flexibility. This enhanced flexibility allows us to better withstand any unexpected market surprises and provides us with the capacity to take advantage of the value creating opportunities. Now I’d like to turn the call over to the operator for Q&A.
Operator: Thank you, sir. (Operator Instructions). Our first question today comes from the line of Todd Thomas with KeyBanc Capital Markets. Please proceed with your question.
Todd Thomas - KeyBanc Capital Markets: Hi, good morning. I’m on with Jordan Sadler as well. 
Dennis Gershenson: Hi Todd.
Todd Thomas - KeyBanc Capital Markets: Hi. Just thinking about acquisition, I was just wondering if you can provide a little color on some of the opportunities that you are seeing today just give us a sense of the competition and what that has done for pricing for some of the assets that you are looking at.
Dennis Gershenson: Yes, we find that the acquisition we were researching fall into two categories. The first, are those assets that are very widely marketed, tremendous amount of competition and in most cases we find that the cap rates of these we are going to sell at fall below the numbers that we would price acceptable as far as our use of capital. The second group that Cathy Clark has been reasonable successful in finding our those group of assets where for a variety of reasons either we know the seller we have a very good relationship with the broker and we are able to be part of a much smaller group of bidders we are looking at those shopping centers. And we are having much more success in coming up with pricing that makes sense to us.
Todd Thomas - KeyBanc Capital Markets: What are your returned thresholds today and how do you manage with that?
Dennis Gershenson: Well, Todd, I think the return threshold for any investment depends on characteristics of that particular investment, what kind of mixed profile is attached to it and what type of growth you think you can get out of it whether it's organic growth or the value added growth. So, there is no sort of one answer to that question, but in today’s market I think we see opportunities cap rates that are in the same range as we described last quarter 7.5 (inaudible). 
Todd Thomas - KeyBanc Capital Markets: Okay and then just on the, looking at the same-store pool it looks like three properties dropped out this quarter from last quarter. I was just wondering, I think one of them may have been one of the A&P Centers. I was just wondering what the other two properties were that fell out of the same store pool.
Gregory Andrews: Yes, I think it was properties that are held for sale or pending redevelopment. 
Todd Thomas - KeyBanc Capital Markets: Okay. And what was the same-store performance have looked like with that A&P property in the same-store pool this quarter?
Gregory Andrews: I don’t have that number in front of me. I think last quarter when we described the impact of [ANP] even though we provided number that indicated it's effect on our income and I think if you look at that press release you can come up with a pretty good estimate of what that impact would be. It was roughly I think $800,000. 
Todd Thomas - KeyBanc Capital Markets: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Chuck Dancey with Kupper Capitals. Please proceed with your question.
Chuck Dancey - Kupper Capitals : Good morning. 
Dennis Gershenson: Good morning, Chuck. 
Chuck Dancey - Kupper Capitals : I was curious on both the controlled equity offering that you used on a quarter. I was wondering how you decided how much of that two, and what are your plans are going forward with it?
Gregory Andrews: Hi Chuck. It's Greg. We were very focused during the quarter I think is apparent from our prepared remarks on a whole series of steps to improve and strengthen our balance sheet. And given the level of our stock price in the first quarter and given our goal to pay down certain debt that was coming due. We though it was appropriate to avail ourselves among all the venue, some equity in addition to the mortgage debt, preferred offering and so forth. So, it was a modest amount that helped us achieve our goals. I think at this point we feel like our balance sheet is very strong and we don’t need to continue to do anything on that front, but as we continue to look at opportunities to invest top add-on capital, we will be very protective of the progress we have made on our balance sheet. And equity may factor in to the future funding of investment. 
Chuck Dancey - Kupper Capitals : Okay. And is there any further equity issuance assumed in your guidance right now, beyond what we saw in the first quarter. 
Gregory Andrews: I guess not. 
Chuck Dancey - Kupper Capitals : Okay. Thank you. 
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Wes Golladay with RBC Capital Markets. Please proceed with your question.
Wes Golladay - RBC Capital Markets : Good morning, guys. Can you kind of give us a range of what to expect for the severance and the deferred financing cost, divide after that at a ballpark?
Dennis Gershenson: As far as the severance cost, we are finalizing an agreement now with the one individual that is up the department, at least with a very amicable parting. So, we are not in a position yet to talk about that. Obviously as soon as we reached that agreement and we would be more than happy to let you know. I mean you are not talking about significant dollars. It's not material amount in overall scheme of things left. The deferred financing cost is material number, but we are in the process of coming through what is required under GAAP for that and it's surprisingly technical how they interpret that. We should be able to provide some more information shortly, but we are not prepared to do so at this time.
Wes Golladay - RBC Capital Markets : Okay and looking at your assets held for sale, it looks like you guys have $9 million in the assets held for sale but the mortgage is about $9.6 million. Is this something you can just hand back to the bank and record a gain on?
Dennis Gershenson: Balance sheet is a book value the market value is defaulting and obviously much higher.
Wes Golladay - RBC Capital Markets : Okay. And do you have any I guess new developments in the work which would get you into two to four year, would it be second half related?
Dennis Gershenson: Well, first of all this two to four references the redevelopment. And we have a reasonable expectations that in the second quarter based upon leases that have been executed, we will be commencing one of our two redevelopments. As far as actual developments are concerned we will certainly give you a heads up before we would commence any development and let you know the rationale, the relative cost and relative returns.
Wes Golladay - RBC Capital Markets : Yes, sorry about that. I meant to say redevelopments on that. Okay, and it looks like, with the D&A increase, was that just a write off of straight line rents, the increase this quarter?
Dennis Gershenson: In which line item?
Wes Golladay - RBC Capital Markets : The depreciation.
Dennis Gershenson: No, I think it was reflective the increase in depreciation utilization was that we bought assets in fourth quarter including one right near the end of the fourth quarter. 
Wes Golladay - RBC Capital Markets : Okay. I think that is it for now. Thank you.
Dennis Gershenson: Thank you.
Operator: Thank you. Ladies and gentlemen, our next question comes from the line of Michael Mueller with JPMorgan. Please proceed with your question.
Unidentified Analyst : Good morning. It's (inaudible) here with Mike. Just a follow-up on the redevelopment question. Can you add a little bit of more color in terms of dollar amount and expected returns?
Gregory Andrews: Well, at least the one redevelopment that immediately comes to mind is it's here the shopping center where it's in an off balance sheet structure and although we will probably be talking about 7 to $8 million total our percentage of that is only 20%. So, that higher number there will come in somewhere between 2 and $2.5 million at the most. And in each of these redevelopments as we put them together we have historically and expect going forward we will be talking about long double-digits returns and new dollars invested.
Unidentified Analyst : Great. And in terms of the 2 to 4 that you mentioned earlier would you say just putting dollars around those in terms of what you are expecting?
Dennis Gershenson: Again I believe that in each of these the dollar cost is very modest, but certainly even if we undertook four projects I don’t think you would be talking about more than maybe a $10 million in total. And again double-digit returns.
Unidentified Analyst : Great. And then following up in terms of the asset sales that you guided to, I believe the last quarter, and I apologize if I missed this earlier in the call, but that’s just three assets held for sale you expect it to sell it around $40 million is incorrect. And then I believe you guided in potentially an incremental $50 million disposition, I just wanted to make sure given the delay in some of these expected closings of these dispositions that nothing is changed there.
Dennis Gershenson: The 40 to $42 million referred to the three stable shopping centers that we are in contract again with one closing is eminent. And as far the $50 million you referenced back, what you guided to at the beginning of the year for what we have considered non-core, but we indicated at that juncture but that did not necessarily mean that all or even the majority of those would be sold in 2011. Some of them are in a position where we say these were non-core and again the two that immediately come to mind have good anchors. We have just put those anchors in all within the last maybe four or five months which means that we want to achieve some [lease stock], adjacent to them before we would actually market them. So, the timing of marketing the $50 million non-core will vary depending upon the status of the asset.
Unidentified Analyst : Okay. That’s helpful. Thank you very much.
Operator: Thank you. Our next question comes from the line of Tayo Okusanya with Jefferies & Company. Please proceed with your question.
Tayo Okusanya - Jefferies & Company: Good morning gentlemen. I just want to talk about leasing spreads for a little bit. When we kind of look at the numbers and the fourth quarter spreads for new leases being down 21.5%, could you talk a little bit about that? Is it just that one anchor that's kind of skewing those numbers and if it is, what exactly was the situation with that anchor?
Dennis Gershenson: As I mentioned in my prepared remarks, I only dealt with the overall same center comparisons. If you took out that one tenant then new leases would be down right around 11%. The thing you have to understand is as I said in my remarks, that the mid-box retailers who was in there before and it was indeed our Linens 'n Things who was paying a very aggressive rent. The new retailer came in, we really did not give them anywhere near what it would cost to build out the space. And therefore, that gave them greater negotiating power to deal with the rental rate that was lower. So, it's seen as the vast majority of spaces that are included in those both new tenant leases are very small spaces, you can have a 30 to 35,000 square foot retailer having a very significant impact on those numbers. And that’s basically what happened.
Tayo Okusanya - Jefferies & Company: Okay but even if you exclude that large anchor then the rest of the space was still down 11%. Just talk a little bit about what you're kind of seeing in the market and why things seem to be getting incrementally worse?
Dennis Gershenson: Well again it's not necessarily getting incrementally worse. What we are finding is that a lot of companies both public companies and private companies are forcing to lease up their spaces. As I mentioned in my prepared remarks what we are finding is that our number of our peers are more than willing to either give a lot of money in allowance or accept significantly lower rental rates and are really driving market rents lower. We are not filling our spaces at the sacrifice of rents if it would be below market. But we are at the upper end of the market range in these areas, and our conclusion is lease the space and as I mentioned in our fourth quarter call, our philosophy is still the same that if we were going to lease an individual space at market, but that market is lower than what we think is the individual shopping center truly deserves, we prefer especially on the smaller accounts to sign a shorter term lease lets say a three year versus a five year lease. And then get those higher rental rates when the short-term lease expires.
Tayo Okusanya - Jefferies & Company: That’s very helpful. Thank you.
Dennis Gershenson: Thanks Tayo.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Vincent Chao with Deutsche Bank. Please proceed with your question.
Vincent Chao - Deutsche Bank: Hey, good morning everyone. Just a question on the TI side of things. Those also look like they were up a bit say quarter-on-quarter. I’m just wondering if you could provide some color there. I know it sounds like the anchor tenant that you mentioned for the mid-box tenant, wasn’t getting lot of TI’s and pricing power on the rent side, but the overall TI’s look like they were up a little bit.
Dennis Gershenson: Yes, there is a rationale for the increase in TI obviously relates to the very significant number of mid-boxes we have leased to in 2010, as well as in the first quarter of ’11. Even where they maybe more modest compared to a complete build out, it's still higher than the kind of numbers that we deal with where we are talking about the smaller retailer and we are having relative to the smaller retailer very good success in giving very little money.
Vincent Chao - Deutsche Bank: Okay. I guess just based on sort of what you are looking at in terms of leasing going for the rest of the year. Are there current levels in 1Q sort of what we should be seeing now for the rest of the year?
Dennis Gershenson: I can’t make a definitive statement, but again our (inaudible) as we ramp up with the number of smaller tenant leases one would likely think that that number should come down.
Vincent Chao - Deutsche Bank: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Nathan Isbee with Stifel Nicolaus. Please proceed with your question.
Nathan Isbee - Stifel Nicolaus: Hi, good morning. 
Dennis Gershenson: Good morning.
Nathan Isbee - Stifel Nicolaus: Just two quick questions, can you go through, maybe not all 16 but at least give some stats in terms of what the box leasing has done for the small shop leasing, perhaps start with some of the older of those 16 and see what has happened in the small shop leasing in those centers since you've signed those leases? 
Gregory Andrews: Nate, this is Greg. I don’t think we are prepared to draw here to-date the capital kind of quantify data about it. But I will tell you just anecdotally from being familiar with our properties that to the extent we spelled a mid-box at our space that was previously vacant it's given us the ability to have traction, we would be more than happy to provide some information that truly gives you a feel for it. The differential that we are able to create based upon the new mid-box.
Nathan Isbee - Stifel Nicolaus: Okay. Thanks. And then just lastly on the aftermarket, you had done in the first quarter you still active with that, you see further activity with that in the second quarter or is that very specific need.
Gregory Andrews: Someone asked the similar question earlier Nate, and I think I wasn’t entirely clear but we have that for a specific purpose in the first quarter which was part of this overall plan of reshaping our balance sheet. And it's available (inaudible) but I think that will only happen in conjunction with the big investment that matched the cost of capital appropriately with the return on our investment. 
Nathan Isbee - Stifel Nicolaus: Alright, thanks.
Operator: Thank you. Our next question comes from the line of Vincent Chao with Deutsche Bank. Please proceed with your question.
Vincent Chao - Deutsche Bank: Just had a follow-up question, in terms of the secured market, I’m just wondering what kind of terms you are seeing today?
Dennis Gershenson: In the secured debt market?
Vincent Chao - Deutsche Bank: Yes.
Dennis Gershenson: Yes. I think we are seeing looser terms generally than was the case last year, lower debt yields, lower debt service covers requirements, higher LTVs. And then on the pricing front generally still some floors at the shorter end of the debt structure, but spreads that are in low to mid maybe 200 is over. 
Vincent Chao - Deutsche Bank: Low to mid 200, and that time in five year?
Dennis Gershenson: Again that sort of varies speaking of whether it's five or ten at this shorter end of the curve in order for lenders to reach some minimal overall interest rate and to be able to bit higher.
Vincent Chao - Deutsche Bank: Okay. And up for leasing quantify that little bit is it 5% today or?
Dennis Gershenson: Yes, perhaps even higher.
Vincent Chao - Deutsche Bank: Okay. Thanks, and I apologize if I missed this earlier but on the new (inaudible).
Dennis Gershenson: In terms of rate?
Vincent Chao - Deutsche Bank: Yes.
Dennis Gershenson: No.
Vincent Chao - Deutsche Bank: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Ben Yang with Keefe, Bruyette & Woods. Please proceed with your question.
Ben Yang - Keefe, Bruyette & Woods: Hi, good morning. I apologize if you already answered this or addressed this but is it your expectation that the underwriters are going to exercise the 12 million shield on the convertible preferreds that you guys just did?
Dennis Gershenson: We don’t have a definitive answer, it's possible. That option period is not right out yet.
Ben Yang - Keefe, Bruyette & Woods: Kay. And then can you just inform me is that convertible only as your option or did the buyers of that security have the option to convert as well at some point.
Dennis Gershenson: Well, yes I mean they have the option to convert into common, they wouldn’t have an incentive to do that [in sale] this time as it make some more economic sense, but yes after a non-call period of seven year's we have the ability to essentially post conversion under certain circumstances that are generally tied to whenever our stock is trading at that point.
Ben Yang - Keefe, Bruyette & Woods: Okay, great. Thank you.
Operator: Thank you. And we appear to have no further questions at this time, I’d like to turn the floor back to management for any closing comments.
Dennis Gershenson: As always we would like to thank everybody for their attention and their interest and we look forward to talking to you in approximately 90 days. You are welcome. 